Operator: Good morning, and welcome to the Iron Mountain Second Quarter 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Greer Aviv, Senior Vice President of Investor Relations. Please go ahead.
Greer Aviv: Thank you, Kate. Good morning, and welcome to our second quarter 2019 earnings conference call. The user controlled slides that we will be referring to in today’s prepared remarks are available on our Investor Relations website along with a link to today’s webcast, the earnings press release, and the full supplemental financial information. On today’s call, we’ll hear from Bill Meaney, Iron Mountain’s President and CEO, who will discuss second quarter performance and progress towards our strategic plans; followed by Stuart Brown, our CFO, who will cover additional financial results and our outlook for the remainder of the year. After our prepared remarks, we’ll open up the lines for Q&A. Referring now to Slide 2 of the presentation, today’s earnings call, slide presentation and supplemental financial information will contain forward-looking statements, most notably, our outlook for 2019 financial and operating performance.  All forward-looking statements are subject to risks and uncertainties. Please refer to today’s press release, earnings call presentation, supplemental financial report, the Safe Harbor language on this slide and our Annual Report on Form 10-K for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements.  In addition, we use several non-GAAP measures when presenting our financial results and a reconciliations to these measures as required by Reg G are included in the supplemental financial information. With that, Bill, would you please begin?
Bill Meaney: Thank you, Greer, and thank you all for taking time to join us. We’re very pleased with the continued durable revenue growth across our businesses and the improved operational execution in line with our previous outlook. Some of the highlights of the quarter included total organic storage revenue growth of 2.4% and total storage growth of 4.6%. We continue to make good progress in identifying new storage opportunity whilst organic volume increased 40 basis points in our global records management business.  Good momentum driving improved operational efficiencies across the organization and data centers delivering strong organic growth. We have leased 7 megawatts through the second quarter in line with our full year expectation of 15 megawatts to 20 megawatts. Moreover, Q3 is getting off to a strong start with a 6-megawatt lease signed in Northern Virginia.  Starting with a review of our financial and operating performance in the quarter, total revenue increased 3% year-over-year on a constant currency basis to $1.1 billion. This growth was driven an almost 5% increase in storage revenue, partly offset by lower service revenue growth reflecting lower recycled paper pricing, which I will touch on in a few minutes.  The cost issues we experienced in Q1 were fully corrected during the quarter, which is evident in the sequential adjusted EBITDA margin expansion of 210 basis points above the high end of the 150 basis points to 200 basis point margin expansion we guided to in our last call despite some onetime cost. As you saw from our press release this morning, we have tightened our guidance range is given we are halfway through the year and there has been less variability in FX rates than we expected when we provided our initial guidance.  We now expect revenue to increase between 2% and 4% year-over-year and adjusted EBITDA to increase between 2% and 5% year-over-year on a constant currency basis remaining within our initial guidance ranges. We remain focused on successfully executing in the second half despite some external headwinds with a strong finish to the year anticipated setting us up to enter 2020 in a good position.  Turning back to Q2 performance, we also continued to see good organic growth with the organic storage revenue growth up 2.4% for the second quarter and 2.2% year-to-date, reflecting continued strong growth from data center, the other international segment, adjacent businesses in stable performance in Western Europe and North America. Revenue management particularly in North America is trending ahead of our expectations. Total organic service revenue growth was negative 2% for the quarter and roughly flat year-to-date due to lower recycled paper prices. We expect this to remain a headwind for our service business for the remainder of 2019 as we cycle over record pricing a year ago. It should be noted, however, the headwinds from paper price on a year-over-year basis amount to $20 million to $30 million on what was last year $115 million of revenue from the sale of paper. The actions we have taken are more than enough for us to manage this headwind and maintain our profit goals, given it is less than 1% of the revenue in the overall business, albeit a little less than 2% of the profit. Turning to business performance, we continued to see good growth in the alternative storage categories including adjacent businesses, consumer and other. Volume and consumer and other grew more than 760,000 cubic feet sequentially or 31% in part reflecting strong demand for high touch consumer storage during the peak season. And our records management business, we organically added roughly 3 million cubic feet of net record storage volume worldwide over the past 12 months representing 40 basis points of growth and increasing trend driven by both new sales and lower destruction.  More specifically, Developed Markets organic volume declined by about 60 basis points. A slight improvement from Q1 organic volume growth in the other international segments continues to grow at a faster clip, increasing 3.4% driven by an increase in new sales of 9.7% and modestly lower destructions. We encouraged by the consistent performance of our global records management business and continued to see a solid commercial pipeline. Shifting to our Digital Solutions business, we continue to support our customer’s evolving needs by providing a number of Digital Solutions. To this point, our Information Governance and Digital Solution team or IGDS at a very good Q2 with a number of wins in a healthy pipeline that is expected to deliver strong double-digit revenue growth this year. In conjunction with our Federal team, IGDS was awarded a nearly $13 million contract from General Dynamics Information Technology under a sub agreement Iron Mountain will perform work is part of a digital transformation initiative for a government agency. As it relates to our Iron Mountain insight platform and partnership with Google, we continue to see good momentum for this innovative solution, which is powered by existing Iron Mountain products and services adding even more value to our portfolio of Digital Solutions. In Q2, we signed a deal with a large financial services customer for a comprehensive solution to manage the document workflow process of auto loans. In addition to providing this customer with scanning and secure storage of loan documents, insight extracts and validates the data, verifies the signatures and certifies authenticity of the loans and associated collateral. We decided this quarter to evaluate alternatives with regards to the infrastructure supporting select offerings within our Iron Cloud portfolio.  We generally approach our Digital Solutions based on a hybrid model in terms of what we developed internally and who we can partner with for best-in-class technology solutions for the right cost. This evaluation has led us to a shift in partnership approach for some of our Iron Cloud solution such as object store and resulting in a onetime drag on our reported results this quarter, which Stuart will discuss in a moment. Finally, as mentioned earlier, our data center business continues to build leasing momentum in conjunction with the build out of our platform. As mentioned earlier in early July, we signed a 6-megawatt deployment in Northern Virginia, which is expected to commence later this year. I want to congratulate the data center team for the successful execution of this deal. It’s a great accomplishment and should add significant value to our campus ecosystem.  Looking at data center leasing activity in Q2, we signed 3 megawatts of new and expansion leases, primarily driven by enterprise demand. Year-to-date, including the new lease in Northern Virginia just mentioned, we have leased 13 megawatts with clear line of sight to achieving the high end of our annual target of 15 megawatts to 20 megawatts.  Furthermore, we continue to demonstrate the strengths of our customer relationships when winning retail sales focused on large enterprises building private cloud infrastructure. Consistent with the first quarter activity approximately 40% of our leasing pipeline, we’ve generated by our non-data center sales team. Cross selling opportunities like this will continue to help us realize synergies as the data center business growth. As it relates to development activity, we are on track to deliver the first phase of new capacity at our Phoenix campus expansion with the grand opening scheduled for August 15, and an additional 5 megawatts of capacity scheduled to be delivered across the three international markets in Q3. In summary, Q2 was a strong quarter that demonstrates the durability of Iron Mountain with continued improvement in global storage organic revenue and volume growth, enabling us to continue to invest in new growth areas to support our long-term business model. We are encouraged by the momentum we see in our data center business and we’ll continue to expand that platform and drive further synergies across the business. Whilst our digital services and solutions are helping our customers solve new business challenges.  With that, I will turn the call over to Stuart.
Stuart Brown: Thank you, Bill. Thank you all for joining us to discuss our second quarter 2019 results. As Bill mentioned, we are pleased with our second quarter performance with revenue of nearly $1.1 billion. Total revenues increased 0.6% or 3.1% excluding the impact of the stronger dollar. Our storage rental revenue increased 4.6% on a constant currency basis, driven in part by growth in our data center, emerging markets and adjacent businesses. Total service revenue increased 0.7% in constant currencies.  As you can see on Slide 6, total organic storage rental revenue growth accelerated to 2.4% in Q2, reflecting results from revenue management and global volume growth. More specifically, Developed Markets organic storage revenue growth came in at 1.3% for the quarter, reflecting continuing contributions from revenue management and volume trends. In the other international segment, we achieved continued healthy organic storage revenue growth of 3.7%. Year-to-date, organic storage revenue growth was 2.2% and with the strong commercial pipeline and a modest decrease in records destructions, we now expect full year organic storage revenue growth of 2.2% to 2.8%. This underscores the consistency and durability of our high margin storage business and strength of our commercial teams. Organic service revenue, however, declined 2% in the second quarter as we cycle over growth of 7.6% a year ago. This mainly reflects swing in paper prices, which were record highs last year and currently about 20% below the five-year average, driven in parts by two large paper mills in North America that were offline in Q2 and lower pulp prices leading to an oversupply of paper for recycling. Assuming prices stay at these low levels, the year-over-year impact to revenue and adjusted EBITDA is about $25 million and assumed in our current outlook. Given this and lower destruction service revenue, we now expect service organic revenue growth to be flat to down 50 basis points for the full year and therefore total organic revenue growth to be in a range of 1.3% to 2% in 2019. While reported service revenue was lower than we anticipated, remember that many of our services provide important support to our core storage business, promote deeper customer relationships and are increasingly designed to solve our customer’s problems, managing and analyzing both physical and digital assets. Our digital services are growing nicely and we continue to evaluate test and grow them to enhance our business and grow new lines of revenue over time. Lastly, as it relates to organic revenue growth, we generate some of our best returns on capital from acquisitions of customer relationships, which are not dissimilar from paying commissions to our sales teams, as we pay a local competitor for their customer contracts and integrate with our existing business. We include the revenue as well as the investment is part of our organic growth, given their similarity to competitive takeaways, but the timing can be a bit lumpy. To give perspective, over the past three years, annual investments have range from $30 million to $70 million. These low risk, high returns sales enabled acquisitions are part of our core growth strategy, particularly in developed markets. Year-to-date, they have contributed about 60 basis points of the 2.2% total storage organic growth. Now turning to our data center business, we are very pleased with the leasing progress momentum. The data center business delivered organic revenue growth around 6% in Q2 and signed 3.2 megawatts of new and expansion leases. Churn during the quarter was a more normal 1%, but this will vary over time given the size of our data center portfolio and we’ll tick up again in Q3. Additionally, we agreed with one of our customers to shorten leases in two of our markets in exchange for higher rental income during the remainder of their modified term. While this will generate elevated turn in the first quarter of 2020, this was a strong positive for our data center business has a freed up capacity in Northern Virginia, enabling us to win the 6 megawatt deployment that Bill mentioned. As you can see on Slide 7, SG&A excluding significant acquisition costs grew about $8 million from a year ago. This was primarily caused by higher compensation expense related in part to the consolidation of acquisitions and our investment in a global operations support team, as well as by increased technology expense. Our adjusted EBITDA declined $17 million year-over-year or 5% to $351 million. Excluding the impact of currency changes, adjusted EBITDA declined $9 million or 2.6%. As Bill mentioned, there were some – there were several one-time items that impacted adjusted EBITDA by approximately $10 million in the quarter. These included a $4 million charge related to our Iron Cloud infrastructure and the remainder for charges related to building damage that occurred during the quarter. AFFO in the second quarter was $210 million compared to $228 million a year ago. This decreased reflects a stronger dollar and other changes impacting adjusted EBITDA, as well as somewhat higher interest expense in quarterly cash taxes, partly offset by lower non-real estate investments. Slide 8 details the adjusted EBITDA margin performance by business segment. The North America RIM margin resumed year-over-year expansion in the quarter, as we addressed the cost issues experienced in Q1. Excluding the change in lease accounting, which reduced margins in the segment by about 20 basis points compared to a year ago, EBITDA margin in this segment expanded 30 basis points. The North America data management margin declines continued to be driven by lower volumes as well as product mix. Revenue management is helping to offset some of the declines that support healthy margins. In Western Europe, Q2 margins contracted 20 basis points, reflecting higher temporary facility costs and professional fees for process improvements. Some of our recent acquisitions of customer relationships in the region are operating at lower margins until we can fully synergize. Other international margins were up 30 basis points in the quarter, despite the 75 basis points impact from the adoption of the new lease accounting standard, reflecting the increased scale of geographies and continuous improvement initiatives. In the global data center segment, adjusted EBITDA margins were 44.4% in the second quarter, partly reflecting the acquisition of EvoSwitch and the Netherlands last May, which operates at lower average margins and the impact in churn that occurred in Phoenix in Q1. As you have seen in our release, we have had an immaterial restatement of our prior period results. During the quarter, we received a notification of assessment from tax and custom authorities in the Netherlands related to value-added taxes on specific business to business customs activity performed by our Bonded business, which we acquired in 2017 and as part of entertainment services. As a result, we have made an immaterial restatement of our prior period financial statements, which can be seen in our 10-Q to be filed later today. Turning to Slide 9, you can see that our lease adjusted leverage ratio remains in line with other REITs and was flat with Q1. We are on track with our plans to generate $100 million plus of capital recycling proceeds this year from the sale of real estate and we continued to explore options for a JV investment partner for our Frankfurt data center development. And therefore, we expect our leverage ratio decline in the second half of the year. Also, we’re encouraged by the recent momentum we have seen by the REIT coverage teams at the rating agencies. As we mentioned in Q1, S&P revised our outlook from stable to negative. Similarly, Moody’s revised our outlook to stable in June based on the strength and diversification of our business model with strong cash flows from our core storage business. Our balance sheet remains solid and we continue to invest and grow the business at very attractive returns with low risk. Turning to outlook, you can find the details and underlying assumptions in the appendix or in our Q2 supplemental. Given these – given the investments we’ve made to improve efficiencies coupled with the operational improvements implemented in Q2 and additional initiatives underway, adjusted EBITDA should continue to ramp through the back half of the year. AFFO and adjusted EPS guidance ranges have been adjusted to reflect the revised EBITDA guidance and for earnings per share also for higher depreciation. We’ve also updated our expectations around capital allocation. Given the increase in leasing activity, we now expect data center investments to be about $50 million higher this year, but have reduced our outlook for business acquisitions due to the expected timing of closings of deals in the pipeline. As a result, we are reducing our expectation for M&A capital to $100 million from $150 million previously. In summary, Q2 reflects healthy and consistent revenue performance from our storage business. While the paper price environment is a headwind, we’ve been taking steps to mitigate its impact on profitability. Our actions to improve margin performance from Q1 levels are evidenced in our results and we are confident in further improvement in the back half. We are excited about the leasing activity and pipeline in our data center business and remain pleased with solid and sustainable revenue growth our teams are delivering. With that, I’ll turn the call back over to Bill for some additional comments before opening up the line for Q&A.
Bill Meaney: Thanks, Stuart. Before we open up the call to your questions, I wanted to take a step back from the quarterly detail and remind you of our long-term business model, which is supported by the durability in the records management business. As an organization, one of the biggest assets we have is extremely deep and long lasting customer relationships, which provide us access to 950 of the Fortune 1000. These relationships are built on decades of trust and delivering best in class storage and value-added services. Having earned the reputation of trusted guardian of our customers assets allows us to leverage these relationships to identify cross-selling opportunities in drive significant synergies across our growing data center platform, particularly amongst enterprise customers, establishing a private cloud infrastructure and looking for a secure and reliable IT environment. A second key asset that Iron Mountain possesses is our durable developed markets record management business, which is allowed and will continue to allow us to consistently deliver strong organic cash flow, enabling us to fund future data center growth, scale our emerging markets footprint and invest in innovative solutions to meet our customer’s needs. These two significant assets underpin our overall financial strategy and continued to support and grow our very strong customer relationships. The resulting sustainability of the core business and growth in the data center business will support our target of achieving consistent 5% plus organic adjusted EBITDA growth flowing through to AFFO growth and generate returns above our cost of capital. We will remain very disciplined in our capital allocation decisions, balancing investments that will create value for shareholders, whilst providing more solutions to our customers. With that operator, please open up the call to Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Sheila McGrath of Evercore. Please go ahead. 
Sheila McGrath: Yes, good morning. Bill, at first quarter, you did have some impact from excess labor that impacted margins. It looks like you righted the ship better than your guidance in second quarter. I was just wondering if you could update us on cost optimization initiatives, how they’re progressing and if you have any change in how you expect the margin improvements to play out for the second half of the year.
Bill Meaney: Thanks, Sheila. So yes, we were pleased as you noted that we were above our guidance in terms of sequential EBITDA margin improvement. We’ve updated the guidance by actually tightening the range and what we do, we will see is continuing stepped up of the margin over the course of the year. In other words, there will be a ramp in the second half of the year, but we feel really good about the line of sight that we have to be able to finish up the year in strong shape.  So the improvements that we made in Q2 more than offset the – change things structurally that more than offset that missed on the labor in the first quarter. So we feel really good in terms of the setup for the second half, but there will be a ramp.
Sheila McGrath: Okay, great. And I just wanted your view on the markets not giving you credit clearly right now for the premium dividend yields given where shares are, just your like bigger picture thoughts on either bringing in the capital partner on some of the data centers, so to create liquidity to buy back shares at these levels.
Bill Meaney: Well, I think we’re – I think you probably appreciate, we’re not going to talk about the buy back on the call. But from a capital allocation standpoint is a board. We look at everything about in terms of where we invest money and how we deploy that and that includes everything from how we give money back to the shareholders whether that’s through a dividend or share buyback.  So everything is always on the table when we look at it. But I think dividend yields, at some point that your shares become pretty good value. But we’re not – we looked at the full range of options right now. We really like the capital allocation decisions we have in terms of growing the data center business and also building out our business – our traditional business in emerging markets in some of our new digital solutions and we’re seeing the growth. And I’m always the optimist. I feel that at some point our dividend yield reflects probably a lack of appreciation for what we’re doing as a company and eventually gravity does reinsert itself in that, that itself correcting if the share price goes up.
Sheila McGrath: Okay, great. Thank you. 
Operator: The next question is from Nate Crossett of Berenberg. Please go ahead. 
Nate Crossett: Hi, thanks. Good morning, guys. I just wanted to follow-up on that margin improvement question. I think on the last call, you kind of got into 600 basis points ramp by the year end. So I know you said that it’s going to ramp through year end, but is that 600 give or take still in place.
Stuart Brown: Hey Nate, this is Stuart. Yes, if you look at the ramp in the margin that’s implied, I think that the way to look at it, right, if you think about sort of Q2 normalized EBITDA adjusting for the $10 million that we talked about Q2 normalized EBITDA was that $361 million. So guidance of the $1,440 or $1,480 by just backing into what the second half EBITDA growth is and plus in EBITDA growth of 7.65% to 8.05%, but on that range. So that’s a ramp in Q2 normalize about $20 million to $40 million per quarter.  And you think about even just the first quarter, we improve $35 million from the first quarter. So the ramp and EBITDA margins, you should continue to see and the benefits that we get as we move through the year, we talked about in the last quarter call, right. We’ve got revenue management and most of our pricing takes place in Q2 actually more of it takes place in Q3. So you get the benefit as we move through the year of pricing. And then the continuous improvement initiatives that Bill touched on led by the global operations support team, which really continues to focus on improve labor productivity, particularly in things like Latin America service margin focused on fleet utilization and number of other areas. We’ve got initiatives underway to meet the guidance.
Nate Crossett: Okay, thanks. And then on just the organic growth number, I appreciate your comments on how much customer acquisitions effects that number. And so I just want to be clear that if you take the 2.2% and you subtract 60 basis points, is that 1.6% a true same-store metric by real estate standards or…
Stuart Brown: I don’t think you can compare it to real estate standards, because real estate – the REIT industry does NOI on a building by building basis, you’ve got to remember the nature of our business is that we store our customers, records and information. They don’t care which building it is. So it’s not a building by building basis, I think about for an office building or a warehouse. So that’s why its organic growth and not sort of the same-store growth. 
Nate Crossett: Okay. And then just one last question on the NoVa lease. I’d be curious to get a little more color on how you won that deal, because some of the other guys have been saying that Northern Virginia is very competitive and there’s pricing pressures. And so I’d just be curious on how you won that. 
Bill Meaney: Yes. I think look, we continued to see our down select ahead of where we have capacity deployed. And I think it’s partly because of the brand, I’d mentioned the cross selling, in fact that we – the last two quarters been consistent about getting 40% of our lead generation from the other side of the traditional side of the business. And our focus on those customers that are heavily regulated have very high requirements, which is mainly financial services, government and healthcare.  I mean, not that all our customers are in those categories, but that’s kind of our focus. So we continue, we look at Northern Virginia, I totally take your point. There’s a lot of capacity in Northern Virginia. It is the largest data center market globally. So there’s also a lot of absorption. But that focus I think it’s a lot of to build a pretty good pipeline. We feel really good about the pipeline we have for the Northern Virginia right now. 
Nate Crossett: Okay. Thanks, guys. 
Operator: The next question is from Eric Luebchow of Wells Fargo. Please go ahead.
Eric Luebchow: Hi, thanks for taking the question. I just wanted to follow-up on the Northern Virginia lease. I know we’ve heard from some of your competitors that pricing and returns have been kind of compressed there. So I’m just curious for some of these larger scale leases, if you’re underwriting kind of a lower return, but longer contract duration or how you kind of look at that balance particularly as you sign these larger scale leases and data centers? 
Bill Meaney: It’s a good question, Eric. So let me ask the question two different ways. So we actually had quite a bit of leasing activity in Northern Virginia in Q2 and we see those at kind of normal rates when I’m talking about the retail sector or retail contracts or leases. On the specific 6 megawatts that is a hyperscale lease. So we’re seeing kind of the 8% to 9% cash on cash returns, which is where we built our business model. So that will, when you start seeing that come through, you’ll see that at a lower rate, but it’s in – but we think it’s very consistent, not just with Northern Virginia, globally, we expect those kinds of cash on cash returns when we sign up a hyperscale customer.  You’re obviously getting bigger deployments. So the – when you actually look at the overall returns – in the returns on the campus, as we said, I think previously on calls as we think that they maximize or optimize returns on a campus the size of Northern Virginia. We expect to have somewhere between 40% and 50% of the leases in those kind of 8% to 9% cash on cash returns when the site is fully built out and it’s consistent with that. But I would say the pricing on that 6 megawatts is less to do with Northern Virginia to do with the returns that are in the market for those types of customers.
Eric Luebchow: Okay, thanks. That’s helpful. And then just one more for me, given that you took data center development CapEx up $50 million, curious how that impacts your leverage outlook for this year and into next year versus previously. And then could you talk about potentially your ability to recycle more of your industrial real estate portfolio above the $100 million that – $100 million plus you have in your guidance? 
Stuart Brown: Yes. Thanks, Eric. As we’ve said over the last couple of quarters, we see ourselves landing lease adjusted leverage of around 5.5 times at the end of the year. If you look at sort of how it’s goings to come down from where it was at the end of Q2, right. We’ve benefited really from three things. First of all, the increasing EBITDA year-over-year, right. The leverage is calculated on trailing 12-month basis. Second, the capital recycling underway. We’ve got a sale leaseback portfolio in the market now of industrial properties and a second property, we’re about to start marketing.  So feel very confident in the $100 million plus that was just built into our guidance currently. We could do more there is a lot of demand out there for industrial real estate. We’re trying to be prudent and sort of prudent the portfolio the right way. The third thing to call out is the data center leasing. Because the way our covenants work in our credit facility as we get credit, because it’s a trailing 12-month basis, on development properties, we get credit for leases that have been signed. So because you’ve put the capital out to develop it upfront, so you get all 12 months of EBITDA credit related to those leases, so that also helps get to the around 5.5 times. 
Eric Luebchow: Okay, great. That’s helpful. Thank you.
Operator: The next question is from George Tong of Goldman Sachs. Please go ahead.
Blake Johnson: Good morning. This is Blake on for George. Thanks for taking my question. It looks like organic volume growth in other international was supported by growth in new sales in the quarter. Can you discuss specific storage volume trends that impacted new sales and other international? Are you seeing increasing demand in emerging markets or anything else that would be great?
Bill Meaney: Good morning, Blake. Thanks for that. Yes, I think we – I think overall, not just I would say in emerging markets, but if we look at our commercial pipeline in our records management business globally is – it’s still – it’s very healthy, because obviously that’s what we look for to give with our confidence going forward into the further quarters.  So just generally, I would say across the globe, we have a pretty good commercial pipeline over the next 12 months to 18 months. Specifically on emerging markets, if we continue to see that, it’s usually in markets like India for instance, where there’s still a very large, what I call on unvended opportunity. I think I might have mentioned previously, there’s a specific customer in India that we just want a part of their business. Historically, it was all in house, there was over 20 million cubic feet. This is a single customer in India.  So if you think about North America, which is 500 million cubic feet in total, there’s a single customer in India that has over 20 million cubic feet in house. So that just gives you the scale of the type of pipeline at we’re building our line of sight to future demand that we have in some of these markets. So we continue to be quite encouraged by what we’re building.
Blake Johnson: Great. Thank you for that. Also previously you had discussed specific initiatives of the global operations team including transportation cost deficiencies. Can you discuss progress on these initiatives and what your expectations are for the remainder of the year?
Stuart Brown: Yes, Blake, again, it’s built into our guidance. I want to talk about specific results of the initiatives. But yes, we’ve got a number of initiatives going on both to improve efficiency in North America transportation. When we look at our data management business and fleet in the records management business efficiencies on the labor side, particularly focused in Latin America where labor productivity, we think we’ve got some improvements there as we take some of the labor standards that we’ve employed here in North America.  Some of the efficiencies where just to give you a specific example, in Latin America, we traditionally staffed each project team separately, we’re in North America, we sort of cross train people better and we can use them across projects. We’re putting that same initiative in place in Latin America, which will help Latin America service margins as well.  So there are a number of things going on. I think we’ve got – if we total up each initiative from the global operations support team, I mean there’s well worth – well north of 50 different things that they’re working on to keep taking cost as part of our continuous improvement initiative. I think having a global knowledge is really cross breed ideas of faster and implement them faster across the organization.
Blake Johnson: Great, very helpful. Thank you. 
Operator: The next question is from Andrew Steinerman of JPMorgan. Please go ahead. 
Andrew Steinerman : Good morning. Looking at Slide 14, bullet one, you raised your organic revenue growth storage range from a quarter ago, it was 1.75% to 2.5% and now it’s 2.2% to 2.8%. What factors give you confidence to take up the range? Maybe what are the most important facts to take up the range? Is it lower destruction, higher revenue management, higher backlog? Just give us a relative sense of what are the most important factors that improved over the last quarter.
Bill Meaney: Andrew, good morning. You almost answered the question for me. It’s pretty much three of your four. So if you think about it, first of all, we’re looking at the commercial pipeline, when we move these ranges. So really liked in terms of the pipeline that the – and we look at what stage they are in the pipeline in terms of how long we can speak to the customer. So that’s one aspect.  Destructions are ticked down slightly. So last year I think they were up, destructions were up. So if you look at this year as they trending back to what I would call more normal levels. I wouldn’t say they’re down unusually, but they’ve come down from last year. So that’s the second aspect. And the other thing is, we’re getting, especially in North America, we’re getting more joy from our pricing initiatives that we’ve actually rolled out pricing initiatives to customers where we were a little bit [indiscernible] those seems to be sticking pretty well. So it’s a combination of revenue management, especially – specifically in North America. And then looking at destruction levels going back to kind of where I will call more norms and then looking ahead at the commercial pipeline.
Andrew Steinerman : Right. And could you just give a reason why you feel like distractions are normalizing now and what gives us confidence that, that’s going to stick?
Bill Meaney: Well, first of all, these are relatively small movements, but they have sizable impact, right. Because you’re talking about small movements, if you just on a business of 700 million cubic feet. So a little bit of change and that can make big differences. The – I think last year, we all have our own hypothesis. We speak to customers all the time, but many times of our customers are crisp in their response. But I think last year probably, it was a combination of some of the GDPR cleanup, people were going into bring themselves into compliance and destroying a lot of their documentation rather than trying to bring it into compliance. And then the other aspect is we did get some legal holes that got released in the financial service industry. So I think those two things alone, probably attracted a bit of it. It’s the best feedback we’re getting from our customers at this point. So our expectations that will kind of trend at the more, what I would call usual levels pre-last year, and you can see that kind of bleeding through this year.
Andrew Steinerman : Thank you.
Operator: The next question is from Shlomo Rosenbaum of Stifel. Please go ahead.
Shlomo Rosenbaum: Hi, thank you very much. Can you delve a little bit more into the pricing in North America, you said, I think you described it, Bill, as getting more joy over there. What exactly is it – are there charges there in put through straight off contracts? Is it something that you feel is, as a sustainable thing that you could do on a regular basis? If you could just give us just a little sense of that.
Bill Meaney: Okay. Good morning, Shlomo. So I think the kind of two aspects, I mean, one is watching the story is about two-thirds of our pricing actions come in the second half of the year versus the first half of the year. So we have that normal uptick. But specifically and what’s different this year than last year. It is that – quite frankly, if we started rolling out revenue management, the ones you’re always shy of is your largest customers, right, because there is any elasticity. Obviously, you feel it in volume in larger dimensions. I think the last couple of years have given us confidence as a team and specifically more North America, that we’re able to rollout the same kind of revenue management or pricing discipline to our larger customers as we were to come by midsize customers. And that was built on a confidence with mid-size customers and as we’ve gone into this year, in the first half of the year, we’ve seen that we have been able to actually achieve that. So lot of this, I think I’ve mentioned before on pricing, a lot of it is change management internally. In other words, giving our folks the confidence that they can charge the right price for the service that we’re delivering.
Shlomo Rosenbaum: Okay. And then if you could just an – in the supplemental Slide 9, the records management in Developed Markets. So there’s a trend that tend to be going on from like 4Q, where the volumes were declining sequentially. You bucked the trend in 1Q, ticked up and then its down again in 2Q. Why is that trending down even if destruction seem to be moderating. I’m just trying to get a handle as is the trend continuing downwards. Or are we stabilizing? Just trying to get a sense of what’s going on there?
Bill Meaney: Yes, I think it’s more of a stabilized trend. I mean, if you look at the, specifically, on the developed markets, the chart that you’re referring to, is if you’re going to go down into the detail, I’d say, a moderation in terms of new sales in Q2, but if you kind of look at over 12 month basis, that goes up and down. So when we look at that and we look at giving our projections going forward, if we look at the commercial pipeline. So I think it is – developed markets will be – as we said, it will be more on the negative side of neutral, so I think, it will be a slight downward tick more than offset by revenue management. So we built that into our projections and at the end of the day, what we’re delivering is total organic revenue sales, our organic storage sales. We feel really comfortable with that. But in terms of looking at the volume that your question that you’re asking is, we then look forward at the commercial pipeline. We think it’s going to be kind of in that range, it kind of up and down.
Shlomo Rosenbaum: Okay. If I could just sneak in last one, that 20 million cubic feet customer in India, when – is that already rolling in now? What – when is that supposed to roll in? That sounds like an actually a pretty big deal, for which kind of business.
Bill Meaney: I wish it was the whole 20 million. They’re not outsourcing everything that they have. And they actually split it between two of us. Actually, we got more than half. So we got the bulk of it. So they didn’t outsource the whole 20 million. I think over time they will and that’s already starting to flow into our Indian operation.
Shlomo Rosenbaum: Okay, great. Thanks.
Operator: The next question is from Andy Wittmann of Robert W. Baird. Please go ahead.
Andy Wittmann: Okay, thanks for taking my question guys. Stuart, I appreciated your comments on the acquisition of customer relationships, otherwise known in the industry as the pickup and move business. I guess, as I look at this, I want to understand it a little bit more. I guess, last year you guys spent about $60 million, this year you’re on track for about $90 million for these types of customer relationship acquisitions. You mentioned that, you pay a sales commission anyway, and so there’s costs either way. What is the delta in cost, if you look out on a per box basis or some normalized basis between the two as you compare them. I mean, $90 million this year, I mean, it’s clearly driving growth. You said 60 basis points of volume. But how does that compare? It seems like, it’s more expensive than a sales commission, but why don’t you help us understand that a little bit more?
Stuart Brown: Yes. I think it’s actually not very complicated, right? So on average, we’ve spend, I think probably at $60 million a year and this year, I would expect this to be sort of around that as well. And that includes, mostly boxes, mostly in the developed business and the developed markets. Some of it’s little bit of it in the shred business as well. So it gets sort of spread between the two. And as we said before, typically, we will bring in 3 million to 4 million cubic feet a year in tuck-in. When you’re comparing the cost between, bring it in through a salesperson or you typically get a number of different costs, because when you bring it to salesperson, depending upon if it’s at the customers today or in the competitors, you get some different costs. So you’ve got the sales commissioning you have to pay, but you’re right is a portion of it. If it’s at a competitor, you’re often reimbursing the customer for their permanent withdrawal fees that they’ve got to pay for the competitor, right, which can be pretty substantial. And so you compare that to a [indiscernible] we are typically paying around three times revenue. You actually don’t get that much of a difference, but you get the volume benefit and efficiency benefits of doing it and moving it one time efficiently. And once you’re fully integrated and synergized, you’re at about a 90% margin, so the flow through that’s really good. So you’ve got a payback of less than four years with integration costs. Which is giving you a cash on cash return of 25%. So our goal is to be transparent about it. We view it as organic and because it is like a sales or some other competitive takeaway. We provide the information to investors, but it is part of our organic growth and we think about it that way as part of our organic capital spend as well.
Andy Wittmann: Okay. That’s super helpful. So in there, I heard that you’re expecting actually $60 million for customer relationships. So I’m sorry if I misquote you in my question there, where I said its 90. So that implies not the difference between the $90 million, that’s in your $515 million and the $60 million, you mentioned there is the customer inducements, which are basically – those come out from withdrawal fees. Is that the right way to think about it?
Stuart Brown: Yes, that’s correct.
Andy Wittmann: Okay, cool. That’s what I wanted to understand. Thank you for your help.
Operator: The next question comes from Marlane Pereiro from Bank of America Securities. Please go ahead.
Marlane Pereiro: Hi. Thank you for taking my question. I just had a quick question regarding, can you talk about funding the $395 million of incremental capital for investments and getting leverage to around 5.5 times by year end?
Stuart Brown: Yes, I think I touched on this. There’s couple of different ways to look at it. I mean, I’ve touched on the leverage change from year to year end, both from the capital recycling and the thing to remember, Marlene, is that as EBITDA growth, right. That allows you to borrow against that and still reduce leverage. So if our EBITDA growth $100 million organically per year, you can see a radically at five times borrow $500 million and still reduce leverage from where we are at the mid five levels. So you can do both at the same time and fund those capital needs.
Marlane Pereiro: Great. So just to be clear, you do expect as communicated last quarter that you expect leverage to kind of to get down to roughly that 5.5 area.
Stuart Brown: Yes, which is – I repeated that in my opening remarks as well.
Marlane Pereiro: Yes. Great, thank you.
Operator: [Operator Instructions] The next question is from Kevin McVeigh of Credit Suisse. Please go ahead.
Kevin McVeigh: Hello?
Bill Meaney: Yes.
Kevin McVeigh: Can you hear me? Hey, Bill or Stuart. Nice job on the margin sequentials, the paper headwinds weren’t as much as what we had modeled. Can you help us understand what you use and for the spot price kind of where that came in the quarter. And then how we should think about that over the balance of the year?
Stuart Brown: Yes. Kevin. I appreciate the question, because there’s been a number of questions about it. Let me start off with, our initial guidance already assumed that paper prices would be declining. So our initial guidance, we assume that paper prices would decline about $10 per ton from 2018 and on a price per ton basis, $10 per ton equates to about $6 million of EBITDA. So if you so to say, okay, what’s now inherited our current assumptions and Bill touched on his remarks, I did as well. If paper prices stay at current levels and that’s down about $40 per ton from a year ago, right. That $40 per ton is about $25 million, impact year-over-year, right. And so if you think about it versus guidance, that’s about $20 million headwind relative to our guidance. Other things just for people to remember as well, we have really high quality sorted office papers, when we go into market to sell. We do sell it at a higher price and what people maybe saying in the index.
Kevin McVeigh: That’s helpful. And then just Stuart, what was it that kind of helped the margin recovery? I mean, I know in the first quarter, it was kind of there were some unexpected cost around labor, things like that. What were you able to put in place that kind of help boost the sequential and then the improvement that we’ll see over the balance of the year?
Stuart Brown: Remember, that despite the $10 million of headwinds that we booked as well. And again, we came out of – we talked about in the first quarter call, we came out with a lot of confidence in terms of our ability to recover, the fact was that the labor issue that we had in first quarter was late in the quarter, we could have recovered in the quarter. And again, I think from an execution, from our operations teams out there around the world, now the ones who really get the credit, both Bill touched on the revenue management of programs we’ve got in place, cost takeout, there’s a lot of work we have to do, right. There’s a lot of opportunities for us in terms of levers in the company to move margins and to get more efficient and we work on delivering those every day.
Kevin McVeigh: Got it. But was that maybe, I guess, can you give us some examples was it like maybe lower bonuses to drivers or was it just any thoughts on kind of…
Stuart Brown: Absolutely not. We’re not taking this out of the backs of our – of the mountain here is out there who are serving our customers every day. If you look, you can see labor efficiencies, our labor actually year-over-year as a percentage of revenue is down. There is some price flow through, again most of them come through in the back half of the year. And then efficiencies and just other costs of sales as well around transportation in some of the other areas.
Kevin McVeigh: Got to, okay. Thank you. 
Operator: This concludes our question-and-answer session and today’s conference call. The digital replay of the conference will be available approximately one hour after the conclusion of this call. You may access the digital replay by dialing 877-344-7529 in the U.S. and plus 1-412-317-0088 internationally. You’ll be prompted to enter the replay access code, which is 10132020. Please record your name and company when joining. Thank you for attending today’s presentation. You may now disconnect.